Operator: Hello, and thank you for joining us for i-80 Gold's 2025 Fourth Quarter and Full Year Results Conference Call and Webcast. Today's company presenters include Richard Young, President and Chief Executive Officer of i-80 Gold; Paul Chawrun, COO; and Ryan Snow, CFO. Before we continue, please note that today's comments may contain forward-looking statements, which involve risks and uncertainties. Actual results could differ materially. I ask everyone to refer to Slide 2 of the presentation, which is available on i-80 Gold's website to view the cautionary notes regarding the forward-looking statements made on this call and the risk factors related to these statements. Following today's formal presentation, we will open the call to your questions. I will now hand the call over to Richard. Please go ahead.
Richard Young: Well, thank you, Joanna, and hello, and thank you for joining today. Starting with Slide 3. In 2025, we made significant progress advancing our development plan and recapitalizing the company's balance sheet towards our goal of creating a mid-tier gold producer. From an operating standpoint, we achieved our 2025 production guidance with consolidated gold output of just under 32,000 ounces that would have been at the higher end of the range had we not had the buildup in inventory at the end of the quarter, and Ryan and Paul will talk about that in a few minutes. Our production does continue to ramp up as Granite Creek ramps up. In parallel, we advanced drilling, technical studies and permitting across our portfolio of projects during the year, keeping us on track towards delivering on key project milestones in our development plan. Drill results, particularly at Granite Creek, were highly encouraging and support our decision to expand the infill and resource expansion programs in 2026. From a development perspective, we began construction of Archimedes, the company's second underground mine. We also capped off the year with the completion of the engineering study for the refurbishment of the Lone Tree process plant, which remains the cornerstone asset in our hub and spoke strategy to process material from our 3 underground mines. The Board has approved the notice to proceed to Hatch engineering for the full $400 million Lone Tree refurbishment. We also executed on a series of recapitalization initiatives and subsequent to year-end, secured a financing package of up to $500 million. The recapitalization is transformational for us as it allows us to advance our development plan unencumbered by the balance sheet. Importantly, the capital that was raised was secured with top-tier financial partners, including Franco-Nevada, National Bank of Canada and Macquarie, who all share our long-term vision for the company and follow extensive due diligence. Their participation is a testament to the quality of our projects, our team and our execution plan. And now I'd like to turn the call over to Paul for a detailed update on that development work. Paul?
W. Chawrun: Thank you, and hello, everybody. Turning to Slide 4. Operations and development work progressed well over the quarter with mining at Granite Creek and advancement rates at Archimedes performing better than planned. We continue to increase our bench strength by hiring talented personnel in the key areas essential to execute on our growth plan, such as geology, mining and metallurgical engineering as well as supply chain, community relations and the Lone Tree project owners team. I'm also pleased to report we achieved our safety performance targets, finishing the year with an improved TRIFR of 0.62, including an incident-free fourth quarter. At Granite Creek underground, mining activities continue to ramp up due to reduced water-related impacts to mine operations, adjustments to the mine sequencing, and the delineation of additional high-grade areas through short-term drilling that were not included in the original resource model. As a result, we mined more mineralized material for the fourth quarter and the full year period year-over-year. In the fourth quarter, we mined just over 41,000 tonnes of high-grade mineralized material, including approximately 15,000 tonnes of high-grade oxide material at a grade of 11.19 grams per tonne gold, approximately 26,000 tonnes of high-grade sulfide material at just over 9 grams per tonne gold, plus an additional 19,000 tonnes of incremental low-grade oxide material at just over 3 grams per tonne gold. For the year, we mined approximately 142,000 tonnes of high-grade mineralized material, including just over 70,000 tonnes of oxide mineralized material at over 11 grams per tonne gold, close to 72,000 tonnes of sulfide material at 9.08 grams per tonne gold, plus an additional 73,500 tonnes of incremental low-grade oxide material of just below 3 grams per tonne gold. Total gold production was 3,600 ounces and 23,000 ounces for the quarter and full year period, respectively. And this refers to the gold available for sale at the third-party processing facility, which contributes to the total gold sold of approximately 5,200 ounces and 21,600 ounces, for the quarter and full year period. Due to timing delays with the third-party processing, the sulfide stockpile was higher than expected at an estimated 6,500 ounces of recovered gold. We expect to process this material in the first quarter of 2026. Water inflows remained stable during the quarter. The upgraded pumping system that was commissioned in the third quarter facilitated effective water mitigation in active mining areas. And as a result, we expect to exceed waste development this year as the main decline rate increases. Construction of a second larger water treatment plant commenced in December and is tracking to begin operating by the end of the second quarter of 2026. This plant is designed to facilitate the ultimate discharge of water away from the underground workings as currently the water removed is recirculating back into the system. Overall, I am pleased with the operational improvements at Granite Creek, and this is a credit to the operating team at site. Moving to exploration on Slide 5. We completed the infill drilling program in the South Pacific Zone, along with 7 target tests in December, which included approximately 16,000 meters of core drilling over 46 holes and an additional 6 infill holes to test and confirm the continuity of mineralization. Assay results outlined in the January 20 press release demonstrated a robust high-grade mineralization throughout the South Pacific Zone, suggesting the potential for expansion to the north and at depth. Encouraged by what we are seeing, drilling advanced beyond the current structural boundaries, opening a new untested area to potentially expand the mineralized envelope. As we continue to drill, we are focused on an initial spacing to about 140 feet for the overall deposit and progressively narrow that spacing to increase our understanding as we move closer to planned mining areas. We have since established a preliminary resource estimate to support the Granite Creek underground feasibility study. Due to additional work required on the mine plan, such as optimization of sequencing with the new resource model, incorporation of ongoing productivity improvements based on current performance, and the incorporation of geotechnical engineering work, the feasibility study for Granite Creek underground is now planned for completion in the second quarter. Results from the 2025 drill program will be combined with infill drilling data from 2023 and 2024 to produce an updated mineral resource estimate using 3 years of additional data. A $10 million exploration drill program is planned in 2026 to test high potential targets and to further delineate resources. Overall, we remain encouraged by the longer-term potential at Granite Creek underground. Turning to the Ruby Hill property on Slide 6. Construction of Archimedes commenced in early September. Underground development is advancing ahead of expectations, reaching approximately 680 meters by year-end. Beyond permitting and development, a key focus over the coming months is advancing towards the exploration drift to support continued feasibility level technical work with initial mineralization expected to be intercepted by the third quarter. Infill drilling commenced in the Upper 426 zone in Archimedes during the fourth quarter. A substantial $25 million to $30 million drilling program is planned for Archimedes in 2026, comprised of over 175 holes and over 60,000 meters. This work will form the basis of a feasibility study planned for completion in the first quarter of 2027, which is earlier than indicated in the PEA by approximately 1 year. Moving to the Mineral Point open pit project on Slide 7, which also sits on the Ruby Hill property. Engineering and technical work continues to support permitting and define the timing of a pre-feasibility or feasibility level study. In 2025, approximately 8,600 meters of surface core drilling was completed to support the geotechnical, metallurgical and hydrogeology studies for baseline data to advance permitting and engineering work. A substantial $40 million to $45 million drilling campaign is also planned for Mineral Point in 2026, targeting approximately 131,000 meters plus an additional $5 million for permitting and technical work. Mineral Point currently hosts the company's largest gold and silver mineral resources with the potential to become the company's largest gold producing asset. It currently sits within Phase 3 of development plan. However, we now have the financial flexibility to accelerate the feasibility study and permitting, thanks to the recent financing package. Turning to Slide 8. Cove is an advanced stage exploration project and the company's third plant underground mine. Over the last 2 years, roughly 41,000 meters of infill drilling was completed on 30-meter spacing across the Gap and Helen zones. The results of this work delivered meaningful advances for the Cove project, which significantly strengthened our geological understanding and improved our confidence in continuity and grade. It also improved our understanding of the metallurgical response to optimize feed and gold recovery in the autoclave. The Cove feasibility study is nearly complete. However, additional work is required to revise the mine plan and cutoff grades to the new gold price estimates, and to further evaluate the capital cost reduction and design optimization opportunities with the dewatering program, which has pushed completion into early Q2. In parallel, permit applications are also underway as part of an ongoing EIS process. Moving to Slide 9. At Granite Creek open pit, work to advance the project continues. Technical work has been underway to advance the project towards either a pre-feasibility or feasibility level study and trade-off analyses are being conducted to optimize the project economics. Geotechnical drilling in support of baseline site investigation engineering was deferred in 2025 due to ongoing operating permit updates for Granite Creek underground located on the same property, pushing the start of drilling into 2026, resulting in a time line that is under review. Early-stage permitting activities will continue in 2026, followed by commencement of baseline field studies in 2027 in preparation of an EIS. Turning to Slide 10 for a look at the Lone Tree plant. During the fourth quarter, we completed a Class 3 engineering study for the Lone Tree plant refurbishment, as Richard mentioned. We recently received a positive construction decision from the Board. Lone Tree is a cornerstone asset central to i-80 Gold's hub and spoke mining and processing strategy designed to process high-grade refractory feed from our 3 underground gold projects: Granite Creek, Archimedes, and Cove. The autoclave is designed to process up to 2,268 metric tonnes per day, delivering a total annual throughput of approximately 820,000 metric tonnes, assuming an 85% plant availability. The processing circuit will incorporate an integrated pressure oxidation and carbon-in-leach circuit capable of processing both refractory and non-refractory mineralized material. Work is progressing as planned with Hatch engineering, such as advancing long lead engineering packages, further optimization of the execution plan, operating permit-related engineering and the progression of detailed engineering to support a first gold pour in December of 2027. The submission of the necessary permit applications for the primary environmental permits are on track and are planned to be completed in the first quarter of 2026. The plant is permitted for the existing operational components in use. However, the approval of new and revised permit applications pertaining to the air quality, water pollution, mercury emissions and reclamation management for the new plant design requires updating. Restarting the autoclave will mark a major turning point in advancing the company's development plan by providing increased processing capacity, meaningful improvements to our margins per ounce of gold and translate into stronger free cash flow generation. Slide 11 outlines the company's 2026 guidance. Overall, the 2026 guidance is largely in line with the preliminary economic assessments published in the first quarter of 2025 with the following exceptions. At Granite Creek, as previously disclosed, the impact of groundwater was not reflected in the PEA. Key aspects of the 2026 mine plan, when accounting for the water ingress impacts from 2025 are: an increased development rate compared to the PEA to recover lost development time, higher growth capital due to the additional dewatering infrastructure, and higher recovery rates and increased processing costs associated with the toll milling agreement entered into after the PEA was completed. As a result, for 2026, when compared to the most recent Granite Creek PEA, approximately 20% more material is expected to be mined. Mining, G&A, development and sustaining costs are in line and the infill and step-out drill programs have expanded to the successful outcome of the 2025 program. At Archimedes, tonnes and grade mined and development costs are largely in line with the most recent Archimedes PEA. The exception is production and processing costs related to the new toll milling agreement entered into after the PEA was finalized. And the feasibility study-related costs have been brought forward to 2026 from 2028. The cost to bring forward the Archimedes infill drill program is approximately $10 million higher so that an exploration drift can be constructed and cover the additional cost of drilling longer holes earlier than was planned from the upper levels. For Mineral Point, Technical and permitting work was brought forward from 2028 to 2026, where an overall infill and step-out drilling, technical work and early permitting activities are expected to total approximately $50 million, the costs of which are covered under the new Franco-Nevada royalty. Other permitting, technical work and holding costs are largely in line with the PEAs. And with that, I will now turn over the call to Ryan for the financial review.
Ryan Snow: Thank you, Paul. Turning to Slide 12. Gold sales for the year increased to approximately 28,200 ounces compared to 21,500 ounces in the prior year period reflecting the advancements made at Granite Creek, as Paul outlined earlier, slightly offset by a lag in the timing of third-party processing. This lag resulted in over 6,500 ounces of sulfide mineralized material in inventory, which we expect to process in the first quarter. When reconciling tonnes mined, gold produced and gold sold, there are 2 factors to keep in mind. First, there's often a timing difference between mining and production when using a third-party processor, and our agreement allows for up to 120 days for delivered material to be processed. Second, our high-grade oxide material is subject to a 59% payability factor, which impacts gold sold relative to contained ounces produced. We effectively forgo the 41% of contained ounces per ounce sold. Total revenue from gold sales increased to approximately $95 million for the year compared to $50 million in the prior year due to selling approximately 6,700 more ounces at an increased realized price of about $1,000 an ounce despite the inventory buildup referenced earlier. Gross profit for the year improved to $11.5 million compared to a gross loss of $15.7 million in 2024, mainly due to the gross profit from Granite Creek being positive in the second half of 2025. The company reported a net loss of just under $200 million or $0.10 per share, while adjusted loss was $123 million compared to $111 million in the prior year. The roughly $75 million difference between net and adjusted loss was related to noncash fair value revaluation losses, which are mainly attributable to the increase in metals prices and our share price during 2025, and a noncash write-down at Lone Tree for assets that were deemed obsolete under the updated refurbishment estimate released in December. The adjusted net loss was largely due to increased predevelopment evaluation and exploration expenses as development work increased across multiple projects as part of the company's development plan. Also, as a reminder, under U.S. GAAP, which we transitioned to in 2024, predevelopment, evaluation and exploration costs are expensed until we declare mineral reserves. We closed the quarter with a cash balance of approximately $63 million, down from the previous quarter due to a larger-than-normal buildup of finished goods and stockpile inventories at year-end, as well as the continued investment in drilling programs to support the planned technical studies and the development plan, investments in Archimedes and Granite Creek development, along with early-stage activities under the limited notice to proceed at Lone Tree. The year-end balance is in line with our expectations under the recapitalization plan. Moving to Slide 13. I'm very pleased to present the status of our recapitalization plan. We recently announced the culmination of a very competitive process that resulted in a financing package of up to $500 million. This financing package includes a commitment letter with Franco-Nevada for a $250 million royalty, and a gold prepayment facility for up to $250 million with National Bank of Canada and Macquarie Bank. The $250 million Franco (sic) [ Franco-Nevada ] royalty is in exchange for a 1.5% life of mine net smelter return royalty, stepping up to a 3% life of mine net smelter return royalty on January 1, 2031. This royalty will apply to production from all mineral properties in the portfolio. Upon closing, $225 million will be made available to the company, of which $25 million is required to be allocated to the advancement of Mineral Point in 2026. An additional $25 million of the royalty financing is also expected to be made available in 2026 to further the advancement of Mineral Point, following the expenditure of the initial disbursement towards the project. This will allow us to allocate $50 million for resource expansion, infill drilling, technical work and early-stage permitting activities at Mineral Point in the year. The gold prepayment facility with National Bank and Macquarie includes an initial advance of $150 million at closing with the obligation to deliver approximately 40,000 ounces of gold over a 30-month period beginning in January of 2028. It also includes an accordion feature that provides access to an additional $100 million for a 24-month period upon closing of the facility and subject to customary conditions and lender approval. We anticipate executing the accordion feature in the first half of 2027, at which point the number of additional gold ounces to be delivered will be determined. Total ounces to be delivered for the full $250 million gold prepayment facility are expected to represent less than 15% of total gold output over the projected period of January 2028 to June 2030. The company established the facility with National Bank and Macquarie with the goal of transitioning the gold prepay into a corporate revolver to fund the development of Mineral Point following the completion of Phase 1 in the development plan. Moving to Slide 14. Proceeds from the financing package, combined with the previously disclosed equity offerings completed by the company in the second quarter of 2025, represent over $800 million in funding to support i-80 Gold's growth objectives. This assumes the full exercise of warrants related to the May 2025 equity financing over the next 18 months. The company expects the final steps to complete the recapitalization plan targeting an overall amount of $900 million to $1 billion to be completed by the end of the first quarter. The company recently issued a notice of redemption of its existing convertible debentures as part of the recapitalization plan to provide the required security under the financing package. The convertible debentures are expected to be extinguished on March 16. Once complete, the recapitalization is expected to fully fund Phase 1 and Phase 2 of our development plan, which is anticipated to increase annual production to approximately 300,000 to 400,000 ounces of gold from less than 50,000 ounces currently. Finally, I would be remiss if I did not take this opportunity to thank all the internal and external parties that have been involved in this process and led to this great outcome. With that, I'll turn the call back over to Richard.
Richard Young: Well, thank you, Ryan. And finally, turning to Slide 15. As we look ahead, we're entering a pivotal period that positions the company to unlock meaningful shareholder value. 15 months ago, we laid out a new development plan. 12 months ago, we filed 5 PEAs that demonstrated the value within that development plan, and then we've spent the last 12 months moving that plan forward, advancing the technical work and completing the recap. As we look forward over the next 12 to 18 months, we will publish feasibility studies for our 3 high-grade underground projects as well as likely a pre-feas for our flagship Mineral Point project and potentially our Granite Creek open pit project. We will commence and be well advanced in the refurbishment of the Lone Tree autoclave, and we will be ramping up Archimedes production, our second underground mine. So the goal of the Board and the management team over the next 12 to 18 months is to move our current valuation from trading at a very significant discount to NAV to something closer to NAV as we continue to execute on the development plan that we laid out 15 months ago. So we appreciate your continued support, and we continue to look forward to updating you as we continue to execute on this development plan. And with that, Joanna, we will open it up to questions. Thank you.
Operator: [Operator Instructions] The first question comes from John Tumazos at John Tumazos Very Independent Research.
John Tumazos: Maybe the press release was a little bit concise in describing the Lone Tree $400 million plus CapEx to restart the autoclaves. On a very simple level, the autoclaves are fixed steel vessels. And if they sit there idle 10 years, they're not going to rush through. So what are the ancillary things that have to get changed or that became obsolete or the changes in design, I don't think you're going to put oxide material through the autoclave vessel. So maybe there's separate circuits -- some -- please describe all the different changes certain to account for the autoclave project costing so much money.
W. Chawrun: Yes, John. So first of all, the autoclave vessel, it needs to be rebricked with -- they actually call that refractory as well. So that's a bit of a cost. The other thing is the CIL circuit itself, the tanks need to be replaced. We need to install some vessels for some of the off gas. The other big cost is the filtration system. So we're going with filtered tails and stacked facilities. So it won't be the conventional slurry. And then the other thing is just upgrading and some of the instrumentation. And then you add that all up with all those components and it comes to $430 million in today's capital environment.
John Tumazos: Did you go out to other engineering firms besides Hatch and get alternative proposals?
W. Chawrun: This project has been worked on for approximately 4 years, so no. There's a full explanation on our website. I encourage you to take a look at those details.
Richard Young: And John, just as a reminder, Hatch actually built this facility back in the '90s, they knew it better than any other group. They are a global leader in autoclave technology, and we're pleased to have the A team on this refurbishment.
Operator: [Operator Instructions] The next question comes from Don DeMarco from National Bank.
Don DeMarco: So first off, at Mineral Point, I see that some of the predevelopment work has been moved forward from 2028. So by accelerating this work, does it provide the potential to develop or realize value on this project sooner than its current positioning in Phase 3?
Richard Young: Don, yes, thank you. Yes. So from our perspective and really even from the time that I joined, it was clear that Mineral Point was the most valuable asset within the portfolio and anything that we could do to accelerate its development would be beneficial to shareholders. So as a result, and with higher gold prices and the recap that we've done, we now have the financial flexibility to advance the drilling and technical work and advance permitting, and we are looking at every option available to us to accelerate that permitting and the ultimate development, likely, we're targeting ahead of the original schedule in the development plan. And just for a reminder to the broader group, based on the PEA, we would expect to average roughly 280,000 ounces of gold equivalent production over a 17-year mine life. at AISC costs of about $1,400 an ounce. Now with this infill and step-out program that Paul mentioned, we do believe that there are opportunities to expand the resource and ultimately, reserve base of this project through the program that's been designed for 2026.
Don DeMarco: Okay. Great. Well, we certainly look forward to that, and it's interesting about the expansion opportunity there. My next question then, just looking at the production guidance, I mean, we're seeing higher production year-over-year. But without the details on costs or terms of the toll milling contracts, what's the best way to model these ounces and capture the year-over-year margin upside in a strong gold tape?
Richard Young: So I guess a couple of things. So the sulfide toll milling charge is about $275 to $280 per tonne, which is about 3x higher than what ultimately it will be when we put it through our own facility. Don, we're in a bit of a holding spot until the tech report is done. We will have the tech report completed in the second quarter. And with that, you'll have a lot more detail on Granite Creek and sort of the various elements of the cost structure. But until then, our hands are kind of tied, but that news will come out in Q2. And just to remind everyone, we are now a U.S. registrant. So we're not able to disclose the results of feasibility studies until the tech report is filed. And so that's why we'll see the Cove and Granite Creek tech reports in Q2 as we complete those tech reports and publish them. But we'll have a lot more detail on Granite Creek in Q2 as well as Cove and then Archimedes to follow roughly about a year later.
Don DeMarco: Okay. Great. Well, we look forward to that. In the interim, we see that the production is higher year-over-year and the gold price is higher year-over-year.
Richard Young: Thanks, Don. And just as a reminder, we did generate gross profit at Granite Creek in the second half of the year as we had guided at the outset. And with these higher metal prices, it will generate free cash flow where we expect it to even after development costs, growth capital and the additional infill and step-out drill programs that we've got planned for 2026.
Operator: Thank you. We have no further questions at this time. I will turn the call back over to Richard Young for closing comments.
Richard Young: Well, I'd like to thank everyone for joining us on this Friday morning. We're excited by the progress that we've made over the last 15 months. And we believe over the next 15 to 18, we're going to be a long way advanced on completing Phase 1 of our development plan, which will take production to 150,000 to 200,000 ounces per year at strong margins and free cash flow, as well as moving forward on Mineral Point and our Granite Creek open pit as part of Phase 2 and 3. So a lot more news to come as we progress through the course of this year. So thank you very much for your time this morning.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.